Operator: Good day, ladies and gentlemen, and welcome to the Douglas Dynamics First Quarter 2012 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would like to introduce our host today, Mr. Robert McCormick, Vice President, Chief Financial Officer. Sir, please go ahead. 
Robert McCormick: Thank you. Hello everyone, and thank you for joining us on the call today. Two quick items as we begin. First, please note that some of the information that you will hear during this call will consist of forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934, as amended.
 Such statements express our expectations, anticipations, beliefs, estimates, intentions, plans, and forecasts. Because forward-looking statements involve risks and uncertainties, our actual results could differ materially from those in the forward-looking statements.
 For more information regarding such risks and uncertainties, please see the sections titled risk factors, forward-looking statements, and management’s discussion and the analysis of financial condition and results of operations included in our Annual Report on Form 10-K for the year ended December 31, 2011 filed with the Securities and Exchange Commission and the updates to these sections and our subsequently filed quarterly reports on Form 10-Q.
 Second, this call will involve a discussion of adjusted EBITDA, a non-GAAP financial measure, which under SEC Regulation G, we are required to reconcile with GAAP. The reconciliation of this measure to the closest GAAP financial measure is included in today’s earnings press release, which is available at douglasdynamics.com.
 Joining me on the call this morning is Jim Janik, President and Chief Executive Officer. With these formalities out of the way, I would like to turn the call over to Jim. 
James Janik: Good morning, and thank you for joining us on today’s call to discuss our first quarter of 2012 results. I’m going to begin by providing an overview of our performance and then Bob will provide a detailed review of our financial results. Finally, I will be back to discuss current trends for 2012.
 Let me start by saying that while this was certainly a challenging winter, we are pleased to have strengthened our competitive position, compared to the first quarter of last year and encouraged by the generally positive economic signs we are seeing going forward. We’ve been doing this long enough to know while we love heavy snowfall winter, we are going to have mild winters from time-to-time and we know how to manage through them.
 Also let me remind you that first quarter sales for Douglas Dynamics are historically the lowest of any quarter, typically averaging less than 10% of full year sales. This is due to end-users generally not replacing equipment until the beginning of the snow season and distributors generally waiting until Douglas Dynamics’ preseason sales incentive period to restock their inventory. As such, the company historically generates a net loss in the first quarter.
 The usual trends were exacerbated in the first quarter of 2012 by a new record low snowfall in many of the company’s core markets and overall the lowest snowfall in more than 25 years, which meant equipment, was not used heavily during the season and therefore, did not need to be repaired or replaced at typical levels. The first quarter of 2012 results are in direct contrast to the comparable period in 2011, which saw significant and sustained snowfall in many of our core markets and drove the record first quarter sales in 2011.
 As such, net sales were $8.6 million, a significant reduction compared to last year’s record results in the first quarter. These results were driven by a very mild winter that brought anemic levels of snowfall across the country. To provide some perspective, in looking at 66 cities across 27 states, average snowfall this past winter came in 45% below the 10-year average and represents the lowest snowfall in more than 25 years. The only major U.S. cities with above-average snowfall were Anchorage and Denver, this compares to previous winter where average snowfall came in 30% above the 10 year average and was very widespread.
 Despite this headwind, we are seeing positive signs in the market, which continue to improve our strategic position. While snowfall and demand for our products did not materialize as we hoped in the first quarter. Overall, business conditions are stable and trending in the right direction, sentiment among our distributors has improved from the same period last year. As we have said in the past, a certain amount of pent-up demand likely exists in the industry as professional snow plowers continue to delay purchases. We expect that demand to materialize over a several year period rather than one particular quarter or season.
 As I mentioned in the fourth quarter call, our most recent field inventory, which has taken January 31 showed a low single-digit growth in new inventories, but remains very manageable. This is especially true when you compare the late snowfall in the first quarter of 2012 with the spike in demand created by heavy levels of snow in the year earlier. Inventory levels are only slightly higher than levels seen last season that fit into the robust preseason of 2011. We are also seeing encouraging sign among light truck sales, sales of select pickup trucks remain positive, growing 8% year-over-year. And over the years, we found the truck sales do positively correlate with plow sales over the long-term.
 Turning to the operations of the business, we are entering this year’s preseason period, which is typically our second and third quarter as a more robust leaner organization. We remain diligent in our management of cash and cost reduction through our continuous improvement activities and initiatives. We remain focused on these factors that are within our control and are positioned to manage through a low snowfall year as we have done many times in the past.
 As we mentioned on our fourth quarter call with the strong cash flow we generated in 2011, we voluntarily elected to pay down $10 million in debt in January of 2012 and are using the cash interest savings to help fund the increase in our stated dividend announced in November of 2011.
 During the quarter, our net cash used by operating activities was $10 million, compared to net cash provided by operating activities of $11.8 million in the fourth quarter of 2011. Again this decline represents a return to more normalized activity against the tough comparison as the first quarter of 2011 was boosted by a very strong winter.
 We remain committed to returning value to our shareholders through a long-term dividend growth, supported by financial discipline, and operating growth.
 As a reminder, we paid our regular quarterly cash dividend of $.205 per share, during the first quarter on March 30 2012. We view our cash generation and commitment to paying dividends as a distinguishing characteristic compared to other companies of our size. We continue to focus on generating excess cash to reduce the company’s debt and pursue strategic acquisitions and disciplined valuations when the opportunities arise.
 With that I’m going to turn the call back over to Bob to discuss the specifics of our financial results and then I will conclude with comments on our business. Bob? 
Robert McCormick: Thank you, Jim. For the first quarter 2012, Douglas Dynamics generated sales of $8.6 million compared to $23.5 million in the first quarter 2011. This decrease reflects a significant decline in both equipment sales and parts and accessories sales driven mainly by the significant reduction in year-to-year snowfall. Shipments of the equipment units decreased to 2,334 or 59% versus the prior year. Parts and accessories sales fell to $3.1 million, again this was almost entirely snowfall driven as noted earlier.
 Cost of sales was $6.7 million or 78.7% of sales for the first quarter compared to $14.4 million or 61.4% of sales for the first quarter of 2011. The increase in cost as a percentage of sales is largely due to Q1 2011’s unusually high sales, which has an impact on our fixed costs as a percentage of sales.
 Note that at the first sign of low snowfall, we pulled out our low snowfall playbook, rightsizing factory headcount, and increasing our focus on improvements in cost, quality, and service. Consistent with the aggressive actions taken to protect cash flow during periods of low snowfall, SG&A expenses were reduced $1.3 million to $4.6 million for the quarter.
 Reductions in SG&A spending will continue throughout the year. First quarter 2012 adjusted EBITDA was negative $1.8 million compared to prior year adjusted EBITDA of $4.1 million, a decrease of $5.9 million. This decrease is primarily attributable to prior year record parts and accessories shipments as well as higher prior year equipment unit shipments during the quarter.
 Net loss for the first quarter 2012 was $4.3 million compared to prior year net loss of $0.8 million. Keep in mind that we historically generate a net loss in Q1 as both orders and shipments slow down in conjunction with the end of the snow season. Net loss per diluted share for the first quarter 2012 was $0.19 per diluted share, based on a weighted average share count of 21.8 million shares compared to a net loss per diluted share of $0.04 per share based upon a weighted average share count of 21.4 million shares in the first quarter of 2011.
 Net cash used by operating activities for the first quarter 2012 was $10 million, compared to prior year net cash provided by operating activities of $11.8 million. This difference was driven both by the reduction in net income and a return to historical levels of inventory, accounts payable, accrued expenses and other current liabilities due to the unusually high level of sales in the prior-year quarter. As part of our customary preseason inventory build, inventory was $46.7 million at the end of the first quarter 2012 compared to $40.1 million at the end of the first quarter 2011. Keep in mind that inventory at the end of the first quarter 2011 was lower than usual due to strong shipments during that period.
 Accounts receivable in the first quarter was $7.6 million compared to $9 million at the end of the first quarter of 2011. The company historically sees accounts receivable decline in the first quarter as the snow season winds down.
 As Jim mentioned earlier, we voluntarily elected to pay down $10 million in debt in January of 2012, and are using the cash interest savings to help fund the increase in our stated dividend announced in November 2011.
 Cash on hand at the end of the first quarter 2012 totaled $14.2 million. The unused borrowing capacity on the revolver is $31.4 million with total liquidity of $45.6 million. We are well positioned to fund our regularly dividend payments and future growth opportunities.
 With that, I will turn the call over to Jim for some concluding remarks. 
James Janik: Thank you, Bob. Let me now take a few moments to share our view on the current market conditions and some thoughts on what we are expecting for the remainder of 2012. As you may remember, we have just entered our preseason period, which typically runs from April 2 and through September. Our program encourages distributors to place orders in the second quarter for shipment during the second and third quarters at our dealer’s request. We offer a combination of pricing, payments and freight incentives during this period, and normally ship 55% to 65% of our annual equipment orders, this not only provides early visibility on sales for the remainder of the year, but also allows us to level load our factories from a production perspective. While the indicators to drive our business are generally positive, we remain somewhat cautious based on the record low snowfall we saw this past winter and its potential effect on snow plowers willingness to replace equipment. While it’s still early in the preseason period so far our conversations with dealers have been positive, but yet cautious.
 We still expect to leverage our track record and flexible business model to produce solid results for 2012. We have a strong cash position and proactively we paid down debt and will of course continue to return cash to shareholders via our robust dividend. We believe the overall economy will remain stable and slowly improve. We remain comfortable with the guidance for 2012 that we issued with our fourth quarter results and will update and narrow that guidance during our second quarter call.
 We’ll now open the call for your questions, operator? 
Operator: [Operator Instructions] Our first question comes from the line of Jason Ursaner from CJS Securities. 
Jason Ursaner: Just first I want to focus on the preseason order program, what percent of preseason orders would you normally have in hand, you can see by the end of March or by the end of April? 
James Janik: Typically in preseason by the end of April, it’s still relatively low, I don’t know that I have a percentage for you, but it’s relatively low. It probably builds in May and then most of the larger distributors actually come in towards the middle of June. So it builds slowly, and probably hits a nice pace in the middle of May and then powers through into June. 
Jason Ursaner: And with orders coming in that late -- I guess that’s -- would you still expect to have that normal SKU to the preseason program of shipping more in Q2 to Q3 or would you expect more of a balance this year? 
Robert McCormick: That’s typically how preseason orders come in every year as I just described. Over the past couple of years, interestingly we’ve seen a bit of SKU to the second quarter. This year we might see a little bit more of a mix going back to what historically has occurred with third quarter being probably equally as popular as the second quarter maybe a little bit more popular. From our perspective, it doesn’t really matter whether they’re in Q2 or Q3 our focus is actually on the total number of preseason orders not on what months they come in. 
Jason Ursaner: Okay. And the commentary positive start to the preseason, this is more sentiment or the orders you’ve seen through March are actually up year-over-year? 
Robert McCormick: Yes, I think it’s a sentiment at this particular point. It’s just so early for us to be making conclusions as to how the preseason is going. But I think at this particular point, we’re pleased with what we’re seeing and for the most part it’s following sort of our expectations. So too early to make conclusions, but we’re pleased with what we’re seeing. 
Operator: And our next question comes from the line of Peter Lisnic from Robert W. Baird. 
Peter Lisnic: I guess first question, sounds like with the competitive positioning that the price outlook shouldn’t necessarily change all that much relative to history this year even with the potential low snowfall and the impacts that has. Is that the right way of thinking about it? 
James Janik: At this particular point, we haven't made any decisions on pricing. So I guess I can't answer that yet. We typically wait until the last minute, just to determine if there's anything unusual that’s occurred, but do we -- have competitors taken price increases as they have in the past, yes they have. Are we looking at a price increase of some magnitude? Yes, we are. But it's too early for us to comment as to what size or magnitude that will be. 
Peter Lisnic: Okay. And by the same token, is it safe to say that you haven't necessarily seen the competitors cut price or be very aggressive on price? 
James Janik: This year not really. We're not -- we're not seeing anybody do anything very unusual. 
Peter Lisnic: Okay, all right. And then when you look at the demand environment this year, I’m just wondering if there are any insights that you can garner from what’s happening in the lawn and garden world or maybe with customers having overlapped with snow in lawn and garden, just wondering if there’s any sort of read that you can get from those customers and what they might be thinking about, the cash flows that they have now with the presumably a stronger lawn and garden season and what that might mean for their willingness to buy a plow? 
Robert McCormick: Sure. I think it's difficult to draw; it’s a great question. It's difficult to draw any definitive comparisons. I’d like to be able to do that. There is a little bit of a difference in our cycle. So I can’t necessarily look at lawn and garden and say what’s occurring in lawn and garden is going to duplicate itself in snow and ice control, but I think it does go at least in the same direction from so we can follow it. The downside to this year for us is that it was low snow, our product didn’t get used very much, the good side is that the landscapers who are plowing in the winter are cutting grass and building walls in the summer and they got an excellent early start. So that probably means their cash flow is better and I would like to be able to say that that’s going to translate into them having cash to make purchases at the end of the season. So I look at it with some positive outlook that as long as they are making money they will buy equipment and I just hope that it’s mine. 
Operator: And our next question comes from the line of Hamzah Mazari from Credit Suisse. 
Hamzah Mazari: Just a question on the inventory levels, you’ve talked about inventory being up slightly, are there any material differences you’re seeing by geography in terms of inventory levels? 
Robert McCormick: Typically, Hamzah, you will see quite a few differences based on where the snow fell. This year the inventories in the cities that did actually get some good snowfall, are probably lower, the Anchorage, the Denver’s, and probably the Maritimes, Canadian Maritimes inventory is a little bit lower. The other places I think it’s pretty evenly distributed around the country, because I think everybody had equally low snowfall levels. 
Hamzah Mazari: And then just going forward, how are you thinking about capital allocations, specifically between special dividends and paying down debt? 
Robert McCormick: Yes, I think, Hamzah, as we mentioned we paid down $10 million worth of debt in the first quarter. And I guess our cycle there is as you know in our business model, cash accumulates during the fourth quarter. So it’s at the end of the year and into the first quarter that we sit down with our Board and make those excess cash deployment decisions. Our priority has been and will continue to be paying down debt. Number one, as we’ve mentioned to you to continue to fund increases in our stated dividend. Number two, would be to deploy some of that capital towards acquisition opportunities when they arise and then special dividends would be the third priority. But I would comment on special dividends likely being or being more or likely to occur, when you have a really high robust snowfall and really high cash generation year, so probably an unlikely scenario anytime soon. 
Operator: And our next question comes from the line of Robert Kosowsky from Sidoti & Company. 
Robert Kosowsky: I was wondering when was the last time revenue was at $8.6 million and what was SG&A back then? 
Robert McCormick: The answer to that question was 2006 and 2007. But you’re going to stump me on what the SG&A was back then, I’ll have to catch that information after the call. 
Robert Kosowsky: 2006, 2007… 
Robert McCormick: Yes. 
Robert Kosowsky: It was about $8.6 million of revenue. And could you just elaborate a little bit further on what you’re like how much you have implemented the low snow playbook that you have, can you triple down expenses even further in other words just going to seasonally stronger periods. But kind of what did you do, and what further kind of latitude do you have to kind of pullback on share expenses? 
James Janik: Well, we do a number of things. we cut capital expenditures back. Typically, as you know, we’ll spend about $3 million to $3.5 million a year in terms of CapEx. And we have driven that back $2 million; you can get through a cycle, with pulling back in some areas and just focusing on maintenance and new product development kind of a thing. So a couple of million dollars of cash flow comes there. From the SG&A spending side, we’ll cut back on the incentive plans obviously, because income is lower. We will cut back on some of our discretionary spending areas in marketing, and all the way through travel and field, and chairs and tables, and anything we can pullback and that doesn’t positively have an influence on us making it through a low snowfall year, and as we said in our last call, that totals about $4 million as we look at it today. So you saw some of that flowing through in the first quarter, and that will continue to flow through for the rest of the year. Now do we have some other levers that we can pull? Sure, we do. We don’t sense that that’s appropriate at this point in time, but we always have other places we can go if for some reason, something happens that is negative to our business. 
Robert Kosowsky: And then, was there any thought like increased spending in this quarter from the new product launch that you had, I know the new pre-packaged plow, debut meaning for the last year, but I was wondering if there is any comment, additional expenses that happened in this quarter due to that launch? 
Robert McCormick: There were not, as we’ve spoken about though we’ve been working pretty hard on some cost reduction projects, on some factory automation, that type of thing, related to that project to get the margins back where we need them to be and that work has been going very well and that should be completed by the end of Q2. 
Robert Kosowsky: And then Jim, you mentioned that you’ve strengthened your competitive position, could you elaborate on that? 
James Janik: Sure. I think from our perspective, we continue to do a pretty darn good job with some of the products that we get out in the field. I think in this first quarter and even start of the second quarter, we have done an awful lot out in the field both with our distribution and their major end users in terms of face-to-face promotion, training, new visibility in certain areas that I’m not going to elaborate on too much. But there are certain groups of plowers and that still have very, very good cash flow and we’re spending a lot of time with them trying to make sure that if they’re purchasing equipment that it’s our brands. So I think we’re doing incredibly good things in the field, and then social media, which are just absolutely taken off in our industry. We’re real pleased that our brands carry the -- I think in 2 or 3 of the search engines carry the #1 and #3 position. So we’re real pleased about those kinds of things. 
Robert Kosowsky: And then just one final question Bob, I think you mentioned the units were down, I didn’t catch what the number was? 
Robert McCormick: Units were down from 2,334. 
Operator: And our next question comes from the line of Jim Giannakouros from Oppenheimer. 
James Giannakouros: I guess elaborating on the competitive landscape question, you said that you’re doing things with distributors and end-users, can you help us understand, if there is any material moves to your distributor network as far as the size or breadth of coverage? 
James Janik: Let me rephrase the question, so that I know I'm asking the right question. You are wanting to know if there’s any significant changes going on within our distribution network? 
James Giannakouros: As far as yes, as far as number of distributors that you have relationships with or are you taking the -- I guess low-volume backdrop, market backdrop to take up change, to take on new distributors and... 
James Janik: Sure. Well, taking on new distributors is an ongoing process. Typically, it will occur in quarters 2 and 3, and not when the snow is flying. So Q4 and Q1 are typically not periods of time where you’re going to take on new distribution, because getting them up to speed on ordering and service and warranty and stocking and all those kinds of things is very difficult when you’re in the heat of the snow season. But clearly, in the second and third quarters, we once again will be looking at geographic markets where we think we still have opportunities to add or change distribution. 
James Giannakouros: And is this the low-volume, I guess market patch up that you’re assuming for 2012, is this an opportunity for share gains, or do you think that they’re pretty much locked down? 
Robert McCormick: I think there are always opportunities for share gains. I don't think generally that a high-volume or a low-volume year is any better for picking up share gains, I think that in our industry share doesn’t change significantly year-to-year it’s one point, it’s a half a point, it’s a little bit of growth or a little bit of loss in certain areas. So I think it’s really just a continual process where each manufacturer our competitors and our selves are always looking for that opportunity to upgrade in certain markets. 
James Giannakouros: Got it. And if I understood you correctly should we anticipate incentives that you offer they may shift depending on market, depending on how 2Q and 3Q are playing out or are they pretty much set and you don’t I guess essentially… 
Robert McCormick: Yes, the preseason incentives are set in the program, so all of the distributors have access to the current programs and I think they are pretty standard among geographic areas. 
Operator: And our next question comes from the line of Jason Ursaner from CJS Securities. 
Jason Ursaner: I just want to refocus on the restock at a pretty high level, can you sell roughly 40,000 60,000 units a year, you have 750 distributors. Is that averages out 50, 75 units per dealer and I would assume that they normally hold a certain percentage of that as they go to start the year, and I’m just wondering you did the field inventory at the end of January, how much above a year-end level or dealers at the end of January, and then on the other side of that -- assuming they have ended with a little more inventory, have you seen any dealers will restock to a lower level than where they have been in years past? 
Robert McCormick: Yes, again it draws some conclusions with pre-season and it’s really too early to tell or to make comparisons from year-to-year as to, are there any trends as to what dealers are doing. And my inclination is this is that most of our dealers will probably put in, in very good orders. Again our pre-season period doesn’t really change much from year-to-year, where you see big changes will be in the fourth quarter and restocking. So from year-to-year pre-season doesn’t change a whole lot. What could happen is we could have some distributors this year though who for one reason or another may say, I usually take a certain percentage of my plows in the second quarter, a different percentage in the third. They may look at the months that they want to take those and typically in a year like this, it isn’t unusual for distributors to make the same number of orders, but SKU a little bit more to the third quarter than the second quarter. But it doesn’t generally impact the total number of plows that they take. 
Jason Ursaner: Okay. And the legal expense that you guys called out of EBITDA was pretty minimal. Did you guys reach a conclusion on the lawsuit you initiated and I guess any of the other legal stuff you've got going on? 
Robert McCormick: No, Jason that’s just -- it’s been hung up in the courts with an appeal pending for quite some time. That’s why there isn’t any legal expense coming through. 
Operator: And we also have a follow-up from the line of Robert Kosowsky from Sidoti. 
Robert Kosowsky: Bob, just one question, longer term, where do you see debt ultimately trending towards, as you do [indiscernible] on debt, you do want to raise a dividend and kind of assuming no other acquisitions, do you see it slowly going down to nothing or kind of, any kind of thoughts on that longer term? 
Robert McCormick: Well, sure. I mean it obviously as we look to continue to pay down debt to help fund the dividend growth, you should see everything else being equal. You should see debt continue to drop and whether it drops at a pace of $10 million a year or not, that will be driven by a whole host of factors. But I guess in theory, if you made no acquisitions, 11 years from now, 12 years from now, debt would be 0. I don’t think that’s going to be the case. I think you’re going to see growth from this company through acquisition, when the right opportunities come along. And we also have opportunities to reinvest in our own business as well. So yes, debt will continue to come down over time. But as Jim stated, we continue to look for opportunities to grow the top line of this business and fully expect to do so down the road. 
Operator: And this concludes our question-and-answer session. I would like to turn the conference over to Bob McCormick and Jim Janik for any closing remarks. 
James Janik: Yes. Thank you, operator. Once again, thank you all for participating and look forward to talking to you on our next quarterly call. Thank you very much and have a great day. 
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This does conclude the program and you may now disconnect. Everyone have a good day.